Operator: Ladies and gentlemen, thank you for joining us today for the Third Quarter 2015 Earnings Call. Throughout the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] It’s now my pleasure to hand our program over to Steve Cootey, Chief Financial Officer. Please go ahead.
Steve Cootey: Thank you, and good afternoon. Joining the call on behalf of the company today are Steve Wynn, Matt Maddox, Kim Sinatra and myself here in Las Vegas. Also on the phone are the operational management teams from both our Las Vegas and Macau properties. Before we get started, I just wanted to remind everyone that we will be making forward-looking statements under Safe Harbor Federal Securities law and those statements may or may not come true. And with that, I’ll turn the call over to Mr. Wynn.
Steve Wynn: I think the numbers speak for themselves; general comment covering both Las Vegas and Macau is this. We don’t see any major change or new development in Macau concerning our existing operations other than all of the comments we’ve made in the past about the confusion, the ambiguity about what we face in terms of tables in the upcoming months as we we’re about 170 days before the opening of the Palace which is the most significant event in the company’s near future. And based upon what’s happened to Galaxy and what we expect to happen at the Studio City which is just today on how many tables they are going to have in the last two days, few weeks before they are open. The confusion and the rather mystical policies that are governing the assignment of equipment in these new hotels which are tremendous diversifications away from pure gaming into all other forms of non-gaming, the confusion about the tables and the government’s position in this regard has made it very difficult to plan for employees and other aspects of the facility. I mentioned this early in the conversation because it’s become a major issue in Macau as to the impact of government policy on and planning for employment, promotions, hiring and compensation. None of us are really clear on what our environment is going to be like going forward. And it makes planning and adjusting almost a mystical process. And this is the I think probably the major topic of conversation in executive conference rooms as people try and resolve their planning on human resources in the Macau market. Our construction of our hotel now is on schedule which is scheduled for March 25th opening. And the results of the last quarter were consistent with the things we’ve seen in previous quarters and that is almost approximately half a business of VIP has gone and maybe shrinking has caused us to review our credit policies and our attitudes towards junket operators and some of them have gone out of business. And I think others will indeed go out of business which means you have to focus very intensely on the policies that you employ with regard to the credit that the junket people in terms of the chips that are advanced to them. Our mass business is sort of flat and I think that’s a general description of it. And that explains the earnings in Macau. Now in Las Vegas, we are in this market, the principal beneficiary of international business and we have been since we opened in 2005. So, if a segment of the international market is impacted for extraneous reasons or external reasons like a change in government policy or whatever in China, then we would be the principal victims or we would suffer the most and that’s exactly what happened. Any change in our earnings in Las Vegas is strictly a reflection of a drop in Asian baccarat business. The rest of the segments in our Las Vegas business are pretty good. Room revenue and stuff like that is healthy. Our convention business is healthy; our food and beverage business is healthy. And we’re very satisfied with Las Vegas. And if anything, the problems in China are causing us to refocus our energies here in America even more intensely. We’re happy that we’re moving forward in Massachusetts, in spite of the friction created by the mayor and the administration in Boston which for some reason is unwilling to except the decision of the Casino Control Commission gracefully and keeps trying to use various tactics to say that we are in Boston not in Everett. It may sound laughable at this point and in a perverse way it is a comedy but it did cause us delays but happily they’re pretty much behind us now. And we’re underway with remediation and we’re looking for to groundbreaking in a few months. And the Massachusetts project which we think is a very exciting thing will be on its way and hopefully open in 2018. I’ll leave the rest of any general remarks before we take questions to Matt or Ian or Gamal or Steve or Maurice anybody on the call who would like to expand or alter what I’ve just said. And there are people on this call that have a tighter feeling. I’ve been very much involved with design in the last several months. So if any of the operating executives want to close in on this, please feel free to do so. Gamal, do you have anything to add? Ian? Either one?
Gamal Aziz: Steve, you have articulated it very well. It’s still a guessing game when it comes to the number of tables and the number of employees, the quotas for the employees. And there is a reluctance, if there are any good news which have been rumor, they’re just that and there is a reluctance to actually come out and indicate to the companies that are working here that they are and deliberately easing some of the restrictions they have been placing on us. So, we’re hoping for the best and we hope will be treated fairly. But as you said, the property is looking great and our opening date is March 25th and we’re very hopeful.
Steve Wynn: The question is will we -- will our property be overwhelming enough to kick that market into a different place? It’s hard to say. I have no idea how many tables we’re going to have. The notion that a person who spent $2.5 billion, I’m talking about Melco now, would not know how many tables are going to have three weeks before they open is preposterous. It’s worthy of comment. And how in the world do we underwrite the job security of the local workforce in Macau, keep the promise of promotions and better opportunity under these circumstances? I’m at a loss to answer that question. And as we go forward in the planning of Wynn Palace, we are hopeful that we’ll be able to press the issue and get stronger, more clarity -- stronger and much more clarity from the leadership of the local government.
Steve Cootey: I think we should open it up for questions.
Operator: [Operator Instructions] Our first question comes from Steven Kent with Goldman Sachs. 
Unidentified Analyst: Hi, this is actually Rebecca Stone [ph] from Steven Kent’s team on for Steve. I was wondering if you could talk a little bit more about Las Vegas. I did notice that food and beverage is doing well. You spoke Steve to some of these things doing better to maybe offset some of the lack of international businesses. Is this something that you would be looking to adjust further in Las Vegas to appeal to more of these types of customers? Thank you.
Steve Wynn: Yes, ma’am. We’ve done a whole bunch of things task. We always adjust. I mean we’re professionals I would describe this as such. And we run the business in uptimes and downtimes and we adjust to the situations. And we made a whole bunch of changes in the casino, both physically and procedurally, we’ve even fooled [ph] with the rules of the game, spent 50 years since Las Vegas increased the price of gaming; we’re way overdo considering the cost of running games and payroll. We’ve adjusted our yield rate management approach, Maurice Wooden is here and he is very good at that in the whole American operation. We’ve made a host of adjustments. We were off in one month by -- from a 100 million buck [ph] or out of 45 million we’re off 55 million buck up, it was the same amount of money because of all the adjustments we made. And they go across the board throughout the hotel. And the way we price the hotel, restaurants, and entertainment, and gaming, we don’t sit by and allow ourselves become victims of anything, of any aspect of our operation over which we have any control. So, my long-term view of our operations in America and in China is still positive. It’s the short-term that’s bouldering and it’s blithering enough to complain about it. But as far as adjusting here in China, it’s a constant process. I was in China last week and I kept my people up until 2 in the morning on the subject of VIP. And then we reconvened at 8 am again and went for another six hours. I think altogether, we spent 15 hours, the most intense kind of a consultation with every smart person we had that dealt with these subjects. So adjusting is what we do. And I mean the description of those -- detail description of those adjustments could go on for half hour. But know that we are doing it and we are doing it successfully.
Operator: Our next question comes from Joe Greff with JP Morgan.
Joe Greff: Earlier this month, it is reported in the local Macau media that the Director delays to Macau and mainland China that the central government is going to help support Macau’s economy. And these comments followed similar statements from Macau’s Chief Executive last month. I think no real specifics were given. So my question to you Steve is this: How do you interpret these comments; what specific measures can or will be introduced based on your dealings with those sets of government officials or do you think these statements were more generic and/or meant to send the signals to turn mainland Chinese, so maybe for the lack of better words, know but [ph] that go into Macau? And then I have a follow-up.
Steve Wynn: Who knows; I mean these facilities are enormously diversified non-gaming buildings but they depend on their survival; their payroll. Their operational viability depends on the gaming equipment that was always part of the whole construct. Here in America, we would never have a Las Vegas of the diversity we’ve had, if the city had told us how many tables we could spread. The table cap is the single most counterintuitive and irrational decision that was ever made. Here we are spending billions of dollars creating non-gaming facilities and then arbitrarily so much as well you should only have this many tables. No jurisdiction ever has imposed such -- that kind of logic on us. And what it’s done is turned our human resource planning inside out and upside down. And you could tell by the tone of my voice, the extent of my frustration on this point; my frustration on behalf of our colleagues that Melco, who made commitments for 400 tables. Why on earth they have to deal with half as many is beyond my -- anything that I can understand in a 45 years of experience I’ve had. It isn’t good for Macau; it’s not good for the citizens of Macau; it’s not good for the tens of thousands of employees of Macau who are looking forward to promotions and raises and all kinds of benefits that accrue because of the viability of these resorts. We build tens of thousands of rooms and restaurants and attractions, but we said you’re not allowed to gamble because you can’t have the tables, but that’s one of the reasons they come to Macau. If you wanted to undermine and scuttle the viability of that industry, you put in table caps. And you could tell I am a tremendous critic of that decision because I don’t understand it in terms of anything in my 45 years of experience that explains it. And to see the predicament the local people find themselves in because they made covenant, agreements, is dazzling to me. And I’ve complaint to the government about this and tried to understand what the rationale was for this thinking. And I’ve never gotten a reasonable answer. And hopefully, hopefully the desire that you mentioned, statements by the central government or by the local government to support this industry and mainly support the people that work in that industry that are the whole interior, all of the young people and the families of Macau that have become part of the hospitality industry, a huge amount of them are people that are related directly or indirectly to casinos. And what we’re getting now is unemployment. I mean the junket operators at the beginning of it because they employed all kinds of people from Macau, but forgetting the junket operators, what about the rank and file dealers in the mass casino, cater to the tourist, what happens to their jobs, what happens to their promotions? I don’t know whether the local government’s been intimidated by the unions because or something but the unions are going to end up acting up about this subject before it’s over and we as operators going to have to stand there on the side lines bewilders at the position that the industry finds itself in. In my 45 years of experience, I’ve never seen anything like this before. And hopefully, hopefully, the leadership of the community will intervene and correct this aberration that threatens the employment security of the citizens of Macau and thereby also relieving the predicaments that people like the Lloyd family, Galaxy experienced with the billions of dollars they spent and Lawrence Ho and Jamie Packer’s company Melco. But these are problems that when you say that there has been the government has made general statements about supporting us or supporting the people of Macau, I think it’s time for them to put their actions where the rhetoric is but the rhetoric won’t solve the problem.
Joe Greff: And then I have a second question. When do you start to migrate employees from your current Macau operation to Cotai, how many employees you see shifting in this quarter, how many in the 1Q and I guess overall how much of fixed OpEx shifting is there going from the Peninsula to Cotai? And that’s all for me. Thank you.
Steve Wynn: Ian and Gamal, you deal with it.
Gamal Aziz: We have approximately 2,000 people; that all depends on people that want to transfer from Wynn Macau to Wynn Palace. But quite honestly, we’ll be able to tell more, once we know how many tables we’re going to have. As we said earlier, the tremendous amount of ambiguity and there is no clarity as to how many and the timing is going to be about the first quarter, so we can get them acclimated to the new property. But we don’t have an exact number; we have a range that we know the number of employees that have requested a transfer, which would be upstanding for Wynn Palace to get that culture transferred but the exact number we’ll know as soon as we know how many tables we’ll get at Wynn Palace.
Steve Wynn: Gamal, I want to interrupt you for a minute. I mentioned earlier that the people at Studio City found out a few weeks before opening what the story is about their tables. Now, Macau is proud of the five-star status, the legitimate five-star status of Wynn Macau. It was hard to train people to get to that level of service but it’s been a source of pride for the community and for the employees themselves. We cannot train people and maintain service levels in the non-casino and casino areas, when we don’t have the time to train our people. So the notion of finding out that how many tables you’re going to get three weeks before you’re opening is outrageous and ridiculous. Ridiculous is the word for it. We’ve never operated a business this way. We train people. That’s how we give them a future, by training them. That contributes to their promotions, their pride and to the guest experience. And at the end of the day, guest experience is the only controlling factor in the survival of the hospitality industry. Go ahead, Ian. The question that they wanted to deal with this how much of the expense load you are carrying at Wynn on the Peninsula that would be relieved as people that we’re carrying on your payroll. We are heavy in our payroll and on the Peninsula hotel deliberately as part of our training routine to maintain the high level of service that Wynn enjoys and our reputation in Macau. So, Ian, what I think his question is how much -- how far will your expense load drop if you were to get the tables you were supposed to get, which was 500, when we started the building, confirmed by the government.
Ian Coughlan: Based on current business trends, the significant opportunity to migrate people to Wynn Palace trained highly qualified people and not necessarily need to back for those people at Wynn Macau until business levels pick back up in the city. So, for the immediate outlook, there is a significant opportunity to transfer people over. And it would be a significant savings on payroll for Wynn Macau without any fall off from service quality.
Steve Wynn: Understanding -- to complete that answer, that the people that we transfer that we don’t have to replace in no way makes up the entire workforce, at paths [ph] there is tremendous amount of additional hiring that has to take place in order for that enterprise to exist. Is that answer to your question?
Joe Greff: Yes, it does. Thank you, Steve. Thanks, everybody.
Operator: Our next question comes from Carlo Santarelli with Deutsche Bank. 
Carlo Santarelli: I have two questions. For starters, maybe Gamal or Ian if you guys could comment a little bit on what you’re seeing within the mass business today. Obviously the slots a bit weaker but the mass table seem to have held up fairly well from a drop perspective on a sequential basis. So the question is, are you guys starting to see any stability or you feel any comfort in at least that portion of the Macau business? And then a bigger picture question maybe for Steve, Steve as you think about some of the government’s conversation and some of maybe the comments that have been made over time about diversifying the economy of Macau. In Europe in longer term, do you get the sense that Macau has the potential to really transform itself away from being a predominantly gaming market much in the way that Las Vegas did over a number of years?
Steve Wynn: I’ll take my part first. Absolutely Las Vegas and Macau rather has transformed itself, not how, [ph] or can, or will, it has been transformed by the projects that have been built in direct response to the leadership and the suggestions made by the local government, everything from promotions to the creation of facilities, exactly that has already taken place. But understand that the reason that these extraordinary non-gaming attractions exist is because the damn casino is the cash register. That’s what drives Las Vegas, 40 odd percent, my hotels, the ones that you guys know that we’ve built with this organization in the past, none of them have ever had even half of the revenue be gaming; over half was non-gaming, but none of them could have been built or would exist today if anybody had given us a table cap, because the people would stay in the rooms, want to go downstairs and play sometimes besides eating, and entertaining, and shopping, and going to the spa, they want to play or they wouldn’t come to Macau. So, we support these extravagant non-gaming diversifications with the casino. That’s the truth of it; that’s the irrevocable, undeniable, inexorable truth of it. The gaming allows the non-gaming to flourish and that’s the lesson we’re trying to get to penetrate the leadership of Macau that the very thing they want requires that they let us run our business based upon our experience, our long experience everywhere else. And that’s where the heart of the frustration is that somehow we haven’t been able to get that truth really accepted. And I am hopeful that before we have demonstrations or real angst or I had an employee approach me when I was in Macau and say Mr. Wynn, is the government angry at the union and trying to cut back on gaming employees? I said, well, I don’t have any reason to think that. But that’s the kind of stuff that’s going around in the staff dining room. This confusion is not isolated to management; it’s now spread to the employees, very unhealthy situation, both socially and politically. And when I am asked questions like that I don’t have a clear answer. And I want to get away from this kind of thing before it gets out of hand. Now, Ian, you can answer the rest of it, the mass gaming. I am in a position to answer that question. Mass table revenue is flat as against a year ago, not a year ago, a quarter ago sequentially.
Ian Coughlan: It is flat but we’ve always had a considerable fall off year-over-year in the very high end of mass which is very similar to the Wynn VIP, so those players have that operators are returning less. So, we’ve actually driven more business in the mid-tier. And as we’ve taken tables back from the junket operators, we have an additional 23 tables in mass over the same time last year. We’ve managed to drive more business in mid-mass.
Carlo Santarelli: Ian, I appreciate that.
Ian Coughlan: Stabilization.
Carlo Santarelli: That’s great and just a follow-up on that, Ian. So, you are in a sense I guess what you’re saying is some of the VIP players that trickle down into the high end mass, are you not seeing as much of them and hence you’re officially in different form -- than you otherwise would have historically?
Ian Coughlan: Yes, correct. And we’re allowed to do that because we’ve got more tables that we migrated to mass. And right now we’re giving approximately 58% of our room inventory to mass that stable game, the slots. So what we’ve been losing out of the junkets, we’ve been trying to drive into mass.
Steve Wynn: All the more reason why you need more mass tables, so that people can use themselves. That plays in when you have lower level of gaming, amusement gaming, you need more tables to deal to those people. That’s the only hope that you have for compensating the loss of VIP. Now at Wynn, we were able to transfer as he just said, a couple of dozen tables. But in Cotai with these big hotels and their massive footage that’s dedicated to non-casino, you need tables to do that. You can’t do it with 150 or 250 tables; you need 400 or 500 tables to do it effectively and to support the workforce, otherwise the workforce gets cut back. And you have layoffs and all these things that have never happened in my career in 45 years; I’ve never had layoff. I think we once dropped a 100 people in this company, 45 years; we don’t do layoffs. People come to work for us; they get job security. I’ve never broken a promise about job security to my employees in my entire career. And I don’t like facing that possibility one bit.
Operator: Our next question comes from Robin Farley with UBS. Robin, your line is open.
Steve Wynn: Robin, are you there? We missed you.
Operator: Okay. Our next question comes from Shaun Kelley with Bank of America. 
Shaun Kelley: Steve, you mentioned little bit earlier in the call here, just that you had done a bit of deep dive with your staff in Macau regarding the VIP business. And one of the other headlines that sort of kind of did the rounds in September was around the Dore junket business that was operating out of Wynn Macau and some other casinos as well. I was curious just for the team’s view on whether or not you saw those issues were fairly isolated and already kind of dealt with or if there’s going to be any continued fallout from those or other similar types of issues going forward?
Steve Wynn: Good question. It didn’t have anything to do with us. It had to do with one of their people in their financing syndicate. The way these guys operate is that they get people to invest almost like a mutual fund or a hedge fund and then they give these people a return each month on the financial support that they get from these groups of lenders. And apparently one of the employees who was interfacing with the lenders absconded with their money. It had nothing to do with us. And we went to 100% cash with Dore. They had all the liquidity they needed right in the cage. And when we found out about it, we terminated any extension for as much as 1 RMB or HK$ 1 to Dore and they were able to cover it because they had the liquidity that allowed them to do it. Whether someone else is going -- that’s going to be in other deep allocation or embezzlement is hard to predict. Criminals tend to be surreptitious until becomes the light. But I think all the junket operators took that as a signal to tightening up on their internal controls from an untold. So, I don’t suspect that that will happen in the manner that it happened at Dore again. But the overall viability of the junkets themselves depends upon the liquidity and the wealth and the retained earnings that they have kept. We don’t see their numbers. And so we’re very conservative in how we deal with them. We don’t know their retained earnings. Some of them have gone public but the information that you study under those circumstance is at best described by the word murky. So, we’re left to manage our end of this transaction which is to shorten the strength and the length of time that we give these people that how many non-redeemable shifts we give them. And the amount of outstanding unredeemed chips is dropped dramatically, almost by half, which reflects the level of business almost identically. That’s what as deeper answer I can give you; is this satisfactory?
Shaun Kelley: It’s great. Thank you very much. And then my other question, I think you are really clear about some of your reviews as to how the people and employees are impacted at some of your facilities going forward by some of the policies out there. We’ve heard from some people in the market that potentially the Macau government may also be looking to at potential restrictions around the blue card policy, which I think is some of the immigrant labor that they allow into the market. I was curious that that was at all impacting your view either towards staffing levels in Cotai or if those really just isolated to more of the table counts and your ability to plan ahead?
Steve Wynn: At the present time unemployment in Macau is almost zero. The government wanted us to build the highly diversified non-gaming structures; we went and did it for 10 billion or more. And if you count all of us, the largest being us at 4 billion. How in the hell can you run those places without employees. I mean what are we supposed to do, shutdown a floor, close the restaurant, curtail the various things that they told us that they wanted to see happen without employees, it’s all ludicrous that it defies rational conversation. Some of these places are going to close locally, creating unemployment, we can absorb them I think in the industry but still the extent of the new operations are so comprehensive that in order to operate them appropriately, you still need more people to work. And the spectacle of these buildings being unattended is beyond imagination and will have dire consequences in the community on a couple of levels; the first level will be that it will negatively impact the job security of the local Macau citizens and undoubtedly result in rather severe complaining. What form that will take, I am not sure. The second thing is that the hospitality profile of the city will be severely compromised and that will take years to recover, years. You only get one chance to make a good impression and if you bogie that impression, if you blow it, it’s a long time to fix it and maybe never. What is important is that the Macau market as is viewed by the world, never loses its viability because the day that it loses its viability, it will lose its long-term longevity and the entire thing gets really damaged severely. And that will impact the community of Macau in a very negative way. And that’s one of the things that concerns me a lot because employee attitudes. Everybody in the world including all of a sudden it’s call today, it has been established that our present state of mind, our happiness, our sense of security is fundamentally a function of how we view tomorrow or the future. You tell someone this feeling poorly, suffering from ailment or some discomfort that they are going to be better in three days and they feel better today. You’ll tell someone who is feeling great today that they are going to be awfully sick next week and they get depressed today. So the attitude of the employees, their sense of security, safety, their notion of a positive future for themselves and their families is a critical management responsibility. Now to a certain extent, we control that within the walls of our buildings. But every once in a while depending on public policy, we lose control of that because of factors that are outside of our control. And my feeling is that Macau at the moment is on the edge of that moment which should be avoided at all cost.
Operator: And our next question comes from Harry Curtis with Nomura.
Harry Curtis: Hi Steve and thank you for being refreshingly frank here. I wanted to just go back to the meeting that you had with your employees on the VIP topic. What I am trying to get a better sense of is, was there any conclusion that you all came to about what the intent of the policy changes related to the junkets really has been on the part of Beijing?
Steve Wynn: Well, that’s a good question. And from what we understand, reading the South China Morning Post and other source of information available to us, President Xi discovered that the people of China felt that government officials were corrupt and feathering their own nest. And he thought that that was very malignant for the health of his party and the future of his country and made a decision to correct that and have a campaign against corruption. And considering the amount of people if you believe the newspapers that have been charged with misconduct of one degree or another, President Xi did the right thing for the right reasons. And because of the way China, mainland China works, every businessman in that country dealt in one way or another with a government official because the government controls so many aspects of public policy and business interface. So businessmen who had nothing to hide as well as those who might have had something to hide all went into the fox holes or into a defensive posture because they didn’t know if the next shoe was going to drop or what the next thing was going to happen. And it is caused across the board, a contraction of all VIP consumer spending at the higher level, which includes Macau. And that explains the problem that the junket operators are having plus the restriction on the credit cards and things like that. So, in one respect, the junket operators faced the problem that was part of an intelligent central government policy, no argument about that. Corruption is a bad thing and President Xi did the right thing just as I would in my company if I thought there was corruption to that extent. Fernando Chui, the Head of the Government of Macau or President Xi Jinping or a president of a public company or a private company for that matter, it is bad business to have corruption and it should be stopped because it’s unhealthy and goes to the root of the viability of any organization or institution. So, there is something that in our meetings we acknowledged and we accept as inconvenient perhaps in terms of junket operators but not necessarily a bad thing, so we adjust to it. And that was the way we dealt with that in our conversations. Alternatively, the reason those conversations have 15 or 16 hours, is because we’re juggling the reassessment of our facilities and adjustments to our facilities to cater to the new reality that we face which incidentally is much more like Las Vegas than what Macau was in the past. And that’s fine with me; I’ve no argument with it. But in the process of adjusting, how do we run our facility under the new reality? And we can do that. But we need tables in the casino to support the restaurants and the convention, the meeting space and the entertainment of the $4 billion. The casino represents perhaps $400 million of it. The other $3.6 billion went into other things that weren’t part of the old way of looking at things. So, on one hand we understand when on with the campaign against corruption and we have no issue with that or the thinking that went into it. What we have an issue with is the leadership that we need to have in the government to help us make the transition to the new reality.
Harry Curtis: Can I ask just a quick follow-up on your comments? You mentioned restriction on credit cards, I’m guessing it’s on the UnionPay cards.
Steve Wynn: Yes.
Harry Curtis: Can you give us a sense of has that been implemented and if it hasn’t, any expectations on how it might change customer behavior?
Steve Wynn: We weren’t in the UnionPay card business to the extent of other people. So, didn’t mean that much to us.
Steve Cootey: And Harry, you should just look at the mass revenues and see how they’re doing. I don’t -- I think that enforcing the rules around UnionPay are overplayed in the media.
Steve Wynn: Way overplayed.
Operator: Our next question comes from Thomas Allen with Morgan Stanley. 
Mark Savino: This is Mark Savino on for Thomas. Just a quick question back on Vegas, wondering if you could maybe give just a bit more detail as to what you’re actually seeing in the high end baccarat business, maybe you could get parse out visitation versus spend for visit trends among those high end players? And then really, do you guys have any senses to how close you might be to a bottom there? Thank you.
Steve Wynn: Maurice, do you want to deal with that?
Maurice Wooden: We’re continuing to see year-over-year where you have a reduction in that high-end play on the international side. And again, it’s like Steve said, we’re adjusting to adhere to make sure that we look at all other areas to make sure that recovering whatever that loss might be. We really don’t understand what that bottom might be. I mean we certainly have still a good flow of international business but it wasn’t like 2014 or 2013.
Steve Cootey: And we’re mainly talking on the gaming side, it’s not just Asia, Latin America with everything is going on there in Brazil and other places, clearly that’s done as well. So, our high end business was down by about half from revenue side compared to this time last year.
Operator: Our next question comes from Kenneth Fong with Credit Suisse. 
Kenneth Fong: As a local analyst, I can share your frustration in this operational uncertain and ambiguity of people allocation as well. So on third quarter, am I fair to say that direct VIP actually hold low that actually hurt the margin, so what is approximately EBITDA impact is? And the second question is this operational uncertainty on table allocation; will it affect the decision in a development of Wynn Diamond?
Matt Maddox: I’ll take the first one. It’s Matt. So, as you see that table mass was up but that EBITDA increase was offset by -- you’re exactly right, direct VIP was down and our slots were down. So, those two offset the increase in table mass. The whole percentage was normal; in direct VIP, it was the volumes.
Steve Wynn: AT Wynn Diamond, do you want about…
Kenneth Fong: Yes, at Wynn Diamond, what is the uncertainty of table allocation?
Steve Wynn: The government told us that we could continue to develop our planned concessions along as was phase two which is as always been. And we have designed a remarkable phase two. But until we understand about Wynn Palace, it’s our ability to look into the future and plan financially is again compromised at the moment. My long-term confidence in Macau is still strong. I love the position we’re in terms of being part of that community. The issue it has to do is short-term adjustments not long-term confidence. At the end of the day, I am in the same position as this Head of the Macau government and for that matter President Xi Jinping. My job is to create a stable environment in terms of human resources, job security and a better future for people. Isn’t that after all what governments are doing or hopefully doing? And I say at the 11th hour the government does the right thing and supports the health of it citizens as businessmen will support the health of their employees. Because the ultimate truth is that the only thing that matters is the happiness of the people whether they are employees or citizens of a community. And they are the ones that touch the public because only people make people happy, only people make happy communities, only people make successful companies. And the job leaders are to do everything and anything in their power to create a happy and positive outlook to the future for their constituencies. And I strongly believe that when the dust settles, leaders of companies and governments do the right thing. And that’s the basis from my long-term confidence in the market and my long-term confidence in the leadership of the government. We all come to the same conclusion when we’ve had enough time to see. Hopefully we come to the right conclusion before we avoid catastrophic, unpleasant or disruptive alternatives. We anticipate certain results and don’t let them occur. So whether you’re a CEO of a company or you’re the head of a government, you have to have a little bit of ability to look around the corner and see what’s coming ahead of you. And if that’s not good, turn away from it, amend your policies, learn from experience and come to a more sound conclusion. That’s what I hope for a businessman and I hope for ourselves and for that matter for the government.
Operator: Our final question comes from David Katz. [Ph]
Unidentified Analyst: If we look at the forthcoming new property in Cotai and presume frankly that it will be most desirable in the market as is typical and is an attraction, can you talk about the strategies and way about identifying presumably somewhat of a new customer mix and how you’re thinking about identifying and engaging and targeting that customer mix as the property?
Steve Wynn: There is no mystery as to who those customers are. They are people from Taiwan, Hong Kong, mainland China who want to live life in an exciting way for a day or two or three on vacations. They want to be served well, stay in lovely hotels, eat in good restaurants, enjoy entertainment and attractions that they can’t get at home, and while they are there play in a casino which is exciting and have fun. Their experience is under the control of the staff that serves them as well as the environment in which this all takes place. That’s the story in Las Vegas, that’s the story in Boston, that’s the story in Macau, it’s the story in Manila, it’s the story in Biloxi, Mississippi; nothing changes nor will it ever be different than that. Those are the truths of the hospitality industry and any of this variations or iterations including Macau or any other city on earth….
Unidentified Analyst: If I…
Steve Wynn: We build buildings-- yes, I am sorry. Go ahead.
Unidentified Analyst: No, I am sorry. I wanted to just maybe reiterate the question in a far more [audio gap] way. Do you expect this market to become more competitive, more aggressively competitive and how do you think about whether or not to engage in, in that?
Steve Wynn: Well, it’s already competitive; it has been competitive for quite some time. Look at Las Vegas with the dozens of hotels, the thousands of tables, the tens of thousands -- 150,000 rooms, millions, upon million suite of convention, a meeting space, theatres, cabarets, public entertainment, volcanoes that erupt, thousands that dance, pirate ships that sink, trees that come out of the floor, gondolas that go across dancing fountains for a $100 million. All of this is a fight for the audience that’s here, discounts given at the tables, complimentaries. It’s so intensely competitive in Macau and has been for some long time, for a long time that it will continue in the same fashion that it is enjoying now. There will still be a stratification of the public. People who can afford choice and who demand higher levels of service, better food, larger more sumptuous rooms, better meeting facilities, more fascinating entertainment attractions, they will migrate to places that provide that. Other places that deal to the economy end of the market such as Circus Circus or in Las Vegas or other places in Macau, they have their own level of competition. But you know there is Kmart and there is in Louis Vuitton; there is Macy’s and there is Neiman Marcus. They complete -- Neiman Marcus competes with other companies of a similar nature; we do as well. Louis Vuitton can competes with Chanel and Christian Dior and Prada. And we’re at that level. We’re the five-star operator. We offer choices for people that want the best. And when we do that, we to a certain extent give up another part of the market to other people. So, it’s good that a place like Macau or Las Vegas has choice for people. What’s wonderful about Macau and Las Vegas is that if you come to that city, you can go from Wynn to Circus; you can go to a lower end casino to Wynn in Macau and you can dial up whatever it is that suits you at the moment. And that’s the secret to making a great destination city, it’s choice to bigger the menu, to more powerful the destination resort. But I assure you that every level, there is competition. Am I being helpful to you?
Unidentified Analyst: Yes. I can recall in Las Vegas during the downturn operators would tend to reach down market and promote more and…
Steve Wynn: And laid off and they lowered their expenses and they laid off thousands and thousands of people, not here because in the business that I’m in, I cannot juggle my service levels; I cannot bounce my step around because the market gets soft. No, no; we have to have a capital structure that allows us to maintain our service levels, to protect the job security of our employees and hopefully at the end of the downturn, we end up with a bigger market share, which is exactly what happened to us. But in order to do that you have to have a strong capital structure. When the government interferes with the viability enterprise, they take that ability for us to protect our employees away from us, a dangerous thing to do from any perspective.
Operator: Ladies and gentlemen, we have run out of time for our Q&A session today. I want to hand the program back over to Mr. Wynn for any closing remarks. 
Steve Wynn: Matt, Steve Cootey, Ian Coughlan, Mr. Aziz, Mr. Wooden, would you like to add anything?
Steve Cootey: No.
Steve Wynn: Okay. Well, I don’t know that this has been the most satisfying quarterly phone call we’ve ever had but at least it’s the most candid and the most honest one that we could possibly give everybody that is interested in our company. And hopefully, it sheds light; it shares real intelligence and insight on the inevitability of anything that interferes with the long-term health of Macau or Las Vegas for that matter. And I’ve done my best to shine a light on that subject. And I thank you all for your attention and we’ll talk and see what happens in 90 days from now. Bye-bye.